Company Representatives: Mike Salvino - President, Chief Executive Officer Paul Saleh - Chief Financial Officer Shailesh Murali - Investor Relations
Operator: Good day ladies and gentlemen and welcome to the DXC Fiscal Year ’20, Third Quarter Results Conference Call. Today's call is being recorded.  At this time, I would like to hand things over to Mr. Shailesh Murali. Please go ahead, sir.
Shailesh Murali: Thank you and good afternoon, everyone. I'm pleased that you are joining us for DXC Technology's Third Quarter Fiscal 2020 Earnings Call. Our speakers on today's call will be Mike Salvino, our President and Chief Executive Officer; and Paul Saleh, our Chief Financial Officer. This call is being webcast at dxc.com/investorrelations, and the webcast includes slides that will accompany the discussion today. After the call, we will post these slides on the Investor Relations section of our website. Slide two informs our participants that DXC Technology's presentation includes certain non-GAAP financial measures and certain further adjustments to these measures, which we believe provide useful information to our investors. In accordance with SEC rules, we have provided a reconciliation of these measures to their respective and most directly comparable GAAP measures. These reconciliations can be found in the tables included in today's earnings release.  On slide three, you'll see that certain comments we make on the call will be forward-looking. These statements are subject to known and unknown risks and uncertainties, which could cause actual results to differ materially from those expressed on the call. A discussion of these risks and uncertainties is included in our Annual Report on Form 10-K and other SEC filings. I would like to remind our listeners that DXC Technology assumes no obligation to update the information presented on the call, except as required by law. And now, I'd like to introduce DXC Technology's President and CEO, Mike Salvino. Mike.
Mike Salvino: Thank you, Shailesh, and I appreciate everyone joining the call today. As I mentioned on my first earnings call, my style is one of focus and clarity, and our comments today concerning the quarter will follow that direction.  Let me quickly outline the agenda for today's call. I will update you on the progress against the priority discussed during our Q2 earnings call. These priorities of running the business and unlocking value represent the transformational journey that we’re on at DXC. We call this our focus strategy.  Paul will then take you through the financial details of our third quarter results, and our business outlook for the fourth quarter and full fiscal year. I will then make some closing remarks concerning what's next on the transformational journey before we take questions.  Turning to our third quarter, I'm pleased with the initial progress we've made on the priorities of running the business and unlocking value. We reported financial results in-line with our plan. Simply put, we did what we said we're going to do and we are executing nicely against our new focus strategy.  Revenue is up 3% sequentially in constant currency. We also delivered on our profitability expectation and our book-to-bill ratio of 1.06. It was our best in three quarters.  As I’ve discussed with you before, this transformation will not be a quick fix, but I am confident that our new focus strategy will position DXC to compete in the IT services space. Let me give you a little color now around the progress we're making with our customers, people, operational execution and unlocking value.  As I continue to meet customers, I’m most impressed with the types of services our customers have entrusted us with for years. The applications and infrastructure we are running are at the heart of our customers businesses. I’ve used the phrase “inside of DXC that we have the courage to deliver the critical for our customers”. This is truly unique in the IT services space. Without the work that our people do every day for our customers, planes don't fly, hospitals don't operate, and Black Friday sales are not completed.  During our last call, I mentioned that we needed to leverage our ITO business and make investments to improve our delivery and regain trust with some of our customers. I have a fundamental belief that by running our customers’ critical system smoothly, we will earn the right to win additional business. This is one of the key tenets of our focus strategy leveraging our ITO business to grow DXC.  We have been focusing on account management and delivery capabilities and we're making good progress. My original assessment had 20 to 30 accounts in the challenge category, meaning we were not meeting service levels or customers were not pleased with our performance. We started doing in-depth reviews and saw some partial terminations and two accounts that terminated completely.  During this quarter we establish a very focused program that includes 40 accounts to address these issues. These accounts represent about a quarter of our revenue. Overall this program is off to a good start, with seven accounts graduating out of this program. We expect the majority of these accounts to be turned around by the end of Q4 and the program to be completed in the first half of fiscal ’21. I've been receiving positive comments during my check-in calls of the 92 in total, and this program has clearly created positive momentum with our customers. In fact, we've already been awarded over $500 million of business from several of these accounts in the form of renewal and new work.  Some of this network was previously put on hold, and some of the new work is an analytics, which is at the top of the enterprise technology stack. This is solid evidence that leveraging the ITO business and focusing on our customers, people and operational execution is the right strategy to grow DXC.  Turning now to our people, we have held Town Halls in every region this past quarter and we have completed a global employee survey; received over 140,000 comments representing that our people are engaged. They are telling us that they are seeing positive changes and are feeling optimistic.  Our current focus areas for our people are learning opportunities, career prospects and compensation. During this quarter a great example of our action and investment was implementing salary increases for our India delivery centers ahead of our typical salary review cycle.  Another area where we are making progress is attracting new talent. In Q3 we had roughly 50 leaders to DXC in the areas of account management, delivery and corporate functions. We also added two more senior leaders to our leadership team. Both Carla and Chris have impeccable resumes, broad experience and played broader roles in their prior companies, but joined DXC to be a part of the transformation journey.  Carla is our Chief Risk Officer and leads Physical and Virtual Security, Ethics and Compliance and Overall Enterprise Risk Management, and Chris will be our CIO and will lead our IT transformation to deliver tools to our people to better serve our customers.  I've also made a couple of key leadership changes. Vinod is now Leading Global Delivery and Steve is accountable for our business in UKIIMEA. All of these hires are integrating well with the existing team and the total team is making an immediate and positive impact. Our book-to-bill of 1.06 for this quarter is evidence that we are working well as a team.  We're also seeing a positive shift in the market about DXC’s brand perception. This is evidenced by DXC alumni rejoining us and others reaching out to join the transformation journey. I am thrilled that Ian Read, the retired Chairman and CEO of Pfizer will be joining us as our new Chairman. Ian brings a wealth of experience, particularly in the area of leading large public company, through transformations. All of this gives me confidence that we can attract, integrate and retain top talent to execute on our focus strategy.  Another key component to running the business is operational execution. We are taking steps to improve delivery execution. Vinod and his team are examining our delivery footprint, utilization and talent to improve our quality, speed and cost of delivery. Ultimately our goal is to consolidate and further scale our delivery operations.  We are now also moving to our regionally focused operating model, with a tighter management system designed to speed up decision making and increase accountability. From an industry perspective, we are bringing together our automotive and banking capabilities with Lexar under Dmitry’s leadership to take advantage of the opportunity in those two industries.  As I previously mentioned, we are leveraging our ITO business to begin to grow DXC. Let me give you a little bit more detail on the plan. We are using our unique industry capability of virtual clarity to assess the IT estates of our top 200 accounts. These assessments will allow us to have fact based dialogues with our customers concerning the migration of their IT estate to the cloud.  In these discussions we talk about technical feasibility, risk, the value proposition and the ability of our customers to execute such a migration, along with their need for assistance. In the fourth quarter we will complete these assessments for 30 of our top accounts and we will be in the market engaging with our customers.  This work will allow us to have productive and proactive discussions with our customers and give us hard numbers concerning how fast our ITO business, which has a large amount of mission critical applications and infrastructure in it will move to the cloud.  Now let me turn my comments to the area of unlocking value. The clarity of our strategy to focus on the enterprise technology stack has given us an opportunity to engage with our customers and better align with their needs. We are introducing our customers to the breadth of our offerings across the enterprise technology stack and customers are reacting positively by communicating to us and industry players that they have an interest in trying our services. We are also executing well in pursuing strategic alternatives for three businesses, and are on track to hit the time-line we set for ourselves. We have retained several world class advisors to help us with this effort and our plan is to be in the market this month. Let me comment briefly on the three businesses.  In State and Local Health and Human Services, it’s been business as usual, and we're in the final stage of adding one new state to our portfolio. In the other two business, horizontal BPS and Workplace and Mobility, results were mixed, but they were in-line with our expectations. On the positive side, some customers have awarded us new work or have renewed existing contract. However, there has been a few cases where customers are pushing out renewals, insourcing the work or have indicated their intent not to renew with us.  Now I'm going to hand the call over to Paul to take you through the third quarter results and our business outlook for the fourth and full year. 
Paul Saleh : Well, thank you Mike and greetings everyone. As usual, I’ll start by covering some items that are excluded from our non-GAAP results this quarter. In the current quarter we had restructuring costs of $74 million pretax or $0.25 per diluted share. Now these costs were primarily related to workforce optimization and facilities rationalization.  Also in the quarter we had $68 million pretax or $0.20 per diluted share of integration and transaction of separation related costs. Year-to-date restructuring, transaction, separation and integration costs amounted to $474 million pretax or $1.49 per diluted share. In the third quarter, amortization of acquired intangibles was $146 million pretax or $0.44 per diluted share.  Now in the quarter, we recorded an out of period tax adjustment of $53 million related to the goodwill impairment we took in the second quarter. Now this non-cash adjustment does not impact income from continuing operations, net income or earnings per share. However, in connection with this out of period adjustment, we determined that we have a material weakness in our internal control over financial reporting, and this is primarily relating to complex transactions and processes. This material weakness does not involve any restatement of prior issued financials.  Now more information about our remediation plan is included in our Form 10-Q, which we expect to file after the close of business tomorrow. Excluding all of these special items, our non-GAAP income before taxes from continuing operations was $468 million and our non-GAAP EPS was $1.25. I'll now move on to our third quarter results in more detail.  GAAP revenue in Q3 was $5.02 billion. As always, all revenue comparisons I will discuss will be in constant currency. Our Q3 revenues represent a sequential increase of 3%. While we typically experience a pick-up in activities in Q3 compared with Q2, our revenue growth this quarter also reflects in-part, add on and project work from customers, who have previously put business with us on hold. Now these are encouraging signs that the investments we are making to turn around challenged accounts are starting to pay off.  Adjusted EBIT in the quarter was $528 million, adjusted EBIT margin was 10.5% in line with the plan we shared with you on our last earnings call. Our EBIT margin was down 40 basis points sequentially. That reflects the moderation of our cost take-out activities, as well as additional investment in the business, consistent with our stated priorities of customers, people and operational execution.  In the quarter our non-GAAP tax rate was 29.9%, slightly better than our expectations of 32% to 33%. Book-to-bill in the quarter was 1.06x. We were able to close a few deals that had slipped from Q1 and Q2 and convert new business opportunities across every layer of the enterprise technology stack. This book to bill reflects the collaboration among all the members of the senior leadership team. Year-to-date, revenue was $14.76 billion, adjusted EBIT was $1.7 billion, margin was 11.6% and bookings were $13.3 billion for our book-to-bill of 0.9x.  Turning now to our segment results, our global business services segment consistent of the three upper layers of the enterprise technology stack. It also includes for now the state and local Health and Human Services business, and the horizontal BPS business which are under strategic review.  GBS revenue was $2.36 billion in the quarter, up 3% sequentially and up close to 10% year-over- year. Excluding Luxoft, GBS revenue was down 0.5% year-over-year, primarily due to the completion of a few application transformation projects and the insourcing of a large BPS contract earlier this year.  In the third quarter GBS segment profit was $353 million and profit margin was 15%. Sequentially our margins were down 70 basis points, reflecting the investment we're making in digital talent, as well as the slower pace of cost take-outs. GBS book-to-bill in the quarter was 1.07x with every offering posting a book-to-bill in excess of 1x.  In particular we saw strength in our data analytics and engineering services business. Year-to-date GBS revenue was $6.8 billion, segment profit was $1.1 billion, margin was 15.8% and bookings were $6.8 billion for a book-to-bill of 1x.  Now let me turn to our GIS segment. The GIS business consists of the ITO, Cloud and security layers of the enterprise technology stack. GIS also includes for now workplace and mobility business, which is under strategic review.  GIS revenue was $2.66 billion in the quarter, up 3.1% sequentially. Year-over-year revenue was down 10.6%, primarily due to the roll-off and insourcing of work in select accounts. GIS segment profit in the third quarter was $232 million and profit margin was 8.7%. Sequentially our profit margin was down 80 basis points, reflecting the slowdown in our delivery cost take-out actions and the investment we're making in turning around challenged accounts.  GIS book-to-bill in the quarter was 1.06x, reflecting the conversion of pipeline opportunities that were previously delayed, as well as the award of add-on and project work from challenged account. Year-to-date GIS revenue was $8 billion, segment profit was $815 million, margin was 10.2% and bookings were $6.5 billion for a book-to-bill of 0.8x.  Now let me briefly comment on the performance of the layers within the enterprise technology stack. ITO revenue was up 2.4% sequentially, but down 16.1% year-over-year. The year-over-year decline is primarily due to roll-off of previously terminated work on select accounts and price concessions made earlier in the year to help customers with their digital transformation efforts. Book-to-bill was 0.9x.  Cloud and security revenue was up 1.9% sequentially and 9.9% year-over-year. Book-to-bill was 1.5x, which is the best book-to-bill we’ve had since Q3 of last year. Moving up the stack, application and industry IP was up 3% sequentially and up 0.4% year-over-year. Book-to-bill for this layer of the stack was 1.1x. This is the first time in four quarters that our application business excluding our enterprise cloud applications grew sequentially.  Data analytics, engineering services business, revenue there was up 3.5% sequentially and up year-over-year by two fold. Excluding Luxoft, data analytic and engineering services grew 0.9% on a year-over-year basis. Book-to-bill was 1.5x with solid performance across the board. Lastly, advisory revenue was up nearly 5% sequentially, but down 8.5% year-over-year against a strong prior year performance. Book-to-bill was 1.1x.  Turning now to the three businesses under strategic review, those businesses were collective up 3.9% sequentially, but down 7.2% year-over-year. The year-over-year decline was driven primarily by the shift from traditional to digital in the workplace and mobility business.  We're moving that case and we are tracking the timeline for the strategic reviews for all three businesses. We plan to be in the market in the coming weeks and are still confident that we will be able to realize $5 billion of net proceeds from this effort as previously stated.  Turning to our financial highlights, adjusted free cash flow in the third quarter was $397 million, a 124% of adjusted net income, reflecting improved working capital management and the expanded use of our receivables facility by $110 million. Year-to-date adjusted free cash flow is $1.21 billion or 106% of adjusted net income.  For the full year, our target free cash flow as a percentage of adjusted net income remains unchanged at 80% or more. Fee cash flow in the fourth quarter will reflect two large cash outflows, one to cover our annual 401-K match and the second for a contract settlement payment that we expect to recover in fiscal ‘21 from insurance coverage. Free cash flow also reflects more conservative working capital and functions for the fourth quarter.  CapEx in the quarter was $310 million or 6.2% of revenue, and on a year-to-date basis CapEx was $1.01 billion or 6.8% of revenue.  During the quarter, we returned $140 million of capital to shareholders in the form of $54 million in dividends and $86 million in share repurchases. Year-to-date we’ve paid $161 million of dividends and repurchased $736 million in shares for a total $897 million.  Cash at the end of the quarter was $2.6 billion, our total debt was $8.9 billion, including capitalized leases. Net debt to total capital ratio was 35.2%. Following our second quarter earnings call, all three agencies, rating agencies issued updated credit reports on DXC, which will [inaudible] our ratings and revise their outlook to negative. Moody's indicated that DXCs rating and outlook were unaffected, but as a pursuit of strategic alternatives was credit negative.  Now we remain committed to a balanced capital allocation, including reinvestment in the business, making strategic tucking acquisition and returning capital to shareholders, while protecting our investment grade credit profile.  In closing, we continue to target revenue in the range of $19.5 billion to $19.8 billion. Sequentially we expect revenue to be slightly down, primarily due to softness in the U.K. as we no longer expect the typical seasonal uptick in revenue from certain key accounts. We expect profit margins to be lower sequentially, reflecting the full quarter impact of the investment we're making.  These investments include, salary increases, particularly in our delivery centers, new talent acquisition, including the addition of senior leaders, ongoing investment to turn around challenged accounts, additional resources deployed to assets the ITO state of our top 200 accounts and finally, additional investments, not previously contemplated to share our support functions, particularly in HR, finance, risk management and IT. For the full year we are targeting non-GAAP EPS to remain in the range of $5.25 to $5.75 per share, although we are trending towards a lower end of that range.  I’ll turn now the call back to Mike for his closing remarks. 
Mike Salvino: Thanks Paul. Our third quarter results are a decent first step on our transformation journey. We’ve done a good job of executing against our new focus strategy. As I said in our last earnings call, we have significant scope and scale of services, a reduced cost structure and customers need our services to support their IT transformation needs. Although our transformation will not be a quick fix, I’m confident that our focus strategy will position DXC in the future, because we have proven this quarter, we can win in the market and we are building a very strong team to execute.  In Q4 our priorities are as follows: With customers, our plan is to turn around the majority of the challenged accounts by the end of this quarter, and we also expect to complete the Virtual Clarity IT estate plans with the first 30 account and be in the market engaging with our customers. On the people front, we plan to continue to address the feedback of our global employee survey, implement our employee value proposition and continue attracting high talent to DXC.  In the area of Operational Execution, we will complete the rollout of our operating model and support of our regional structure. We also plan to streamline our offering portfolio to better align with the Enterprise Technology Stack and we will be conducting detailed regional business reviews, focused at the account level to develop our plan and investment for fiscal 2021. Finally, we expect to make progress on unlocking value, as we move that page along our stated timeline for the three businesses.  Thank you again for joining the call, and we will now open the line-up for questions. 
Operator: Thank you, sir. [Operator Instructions] Our first question will come from Jason Kupferberg, Bank of America. 
Jason Kupferberg : Hey, thanks. Good afternoon guys. Really nice progress, out of the gate here, so congrats on that. I just wanted to ask, just going to combine a couple of quick ones here into one question if you will. But first off, do you think the book-to-bill of back to 1.O [ph] plus is sustainable. I know you are still comfortable with the fiscal 22 target you'd given us last quarter and then just last, any thoughts on when we potentially see the first of the strategic review announcements. 
Mike Salvino: So Jason look, thanks for your comments. First of all on the strategic alternatives, look we are moving at pace. We said that you know the alternatives would be looked upon and we’d execute them across the next 12 months and that's what we're going to continue to do.  As it relates to you know 2022 and the sustainability of the book-to-bill, look I've been very encouraged about the progress we've made over the last three months. The recent activity of our transformation programs by customers, people and the market have been very good. When I think about 2021, right that'll be a transitional year for us, and we're going to continue to invest in our customers, people and operational execution and what I plan to do is discuss that 2021 plan on our next earnings call. And then I also plan to provide any additional updates on our expectations for 2022 at that time.  So I won't be and Paul won’t be commenting any further on that, other than the outlook you know that we gave on 2020.
Jason Kupferberg : Just on the book-to-bill. 
Mike Salvino: Look on book-to-bill we made a good start, right. I mean what I expect you know is we will continue to make good progress in Q4, but we are going to be in and around. You know I think that 1.0 maybe a little bit slightly lower, but I mean the bottom line is we have a motion in the market that is winning. 
Jason Kupferberg : Perfect! Thank you. 
Operator: Next up is Darrin Peller, Wolfe Research. 
Darrin Peller: Hey, nice job guys and good bookings. Let me just start off. I mean, I appreciate the color on the 40 clients that Mike you just talked about. It seems like a meaningful portion of the headwinds in the ITO piece; I assume that’s the case. Maybe just touch on how clients are reacting to your refocused emphasis on ITO now and I guess I’d like to hear how your clients are reacting to that, but also how the internal organizational culture feels about the one DXC reemphasized focus on kind of one company investing in all parts of it. Do you feel that there's been reenergized of the employee base. Thanks guys. 
Mike Salvino: Okay look, thanks for that. First of all, on the comment, the 40 clients are not just within that, what I call the green layer or the ITO layers. It’s also in the orange, in the apps layers, so it's those two layers. And when I talked about an in-depth review, I mean I took a very stringent line on what went into those clients and it wasn't like I said, just the service levels, because that’s the easiest thing, right.  You hear in the market place you know the watermelon effect, green on the inside and then you know red on the – green on the outside, red on the inside. What that means is you got to listen to the voice of the customer. So when I said I made 92 a month, 92 calls now, I'm talking to these customers to make sure that our performance is where it needs to be and if it wasn't where it needed to be, I’d put them into the program. I mean it was as simple as that, alright.  And moving out of the program, the only way you’d get out of the program is if I hear, get a note or have a call that says the client is happy and we've seen that performance over a month. So when I said seven have gotten out, you know you would be expected sort of that framework, as it relates to you know the progression.  The second quarter of your call was the one DXC, but our people are definitely engaged, all right and you know not only did they like the Town Halls and the openness and transparency that we're talking about in terms of the transformation, but they really responded well to the global employee survey, you know not only from taking it, but they wanted to see the results. And what I would say is, you know that that whole energy bleeds into the market, because our people sit side by side with our custom and when our people are happy, right, our customers here that and then that tends to get out in the market.  So the reason I highlighted what I call DXP alumni rejoining, is that’s a new movement, all right. Meaning people want to come back and join the place and then it goes without saying, right. I am honored, along with I'm very impressed with the talent that we’ve been able to attract. So I would tell you, that the receptivity has been very good. 
Darrin Peller: Thanks guys. 
Operator: Next up we’ll hear from Lisa Ellis, MoffettNathanson. 
Lisa Ellis: Hi, good afternoon guys, and off to a good start here. I got one for Mike maybe and one for Paul. Mike, can you just elaborate a little bit on any changes you're making to the sales and go to market model to support the sort of updated strategy for DXC. And then Paul just one for you, I mean I think restructuring and the separation costs are running you know about a third or so of adjusted free cash flow and that’s kind of an important driver for the longer term outlook. Do you see that, as you look into 2021, 2022 coming down or are they going to be kind of a big piece of your free cash flow for the foreseeable future. Thank you. 
Mike Salvino: So Lisa, I’ll go first. In terms of changes on the sales model, you know what I would say is, you'll hear this word a lot, is focus. So when I went into the detail about the Virtual Clarity IT estate plans, I'll tell you, I was getting a little tired of people saying that are ITO business was just going to run to the cloud.  So the reason I started to do analysis around what that business and you know in KL and the critical nature of that, you know most of the stuff that's going to the cloud so far has been the easier stuff, right and it's gone to the public cloud. The state that we have now, being a more critical nature, that will take a little bit of time. And when it goes, it will usually go to a private cloud.  So the reason I went into such detail on the estates Lisa, is we are literally handing all right, that road map to our sales force. And myself and the leadership team is getting involved in those conversations with those accounts, because when I did check in with the customers, you know they were asking us to be more curious. So as part of sort of the new mindset here, we're showing up, and we're going to not only show-up with a point of view, but we're going to show-up with you know a detailed plan of what can happen on their estate.  So that's the main change I’ve made so far, is I want to see these detailed plans all right, for the existing accounts and when we have a new account, right that we are competing with. I also want to see that detailed plan, because we can do high level analysis before we walk into the conversation with a new client. So that's the main thing I would highlight for you. 
Paul Saleh: And Lisa, on the restructuring, it’s been just really this quarter. For example we had some restructuring more related to some of the complex countries. As I look to the near term and particularly its through fiscal ’21, as Mike mentioned, this is going to be at a transitional year for us. Importantly there the restructuring is going to be a little bit also targeted, those stranded costs coming out of the three business, those we are going to be reviewing all the option from switch from a strategic perspective.  And then as we have indicated previously, by fiscal ‘22 we start to expect restructuring to moderate and we’ll start to think a little bit more about providing a little bit more granularity in terms of our expectations on restructuring in the coming quarters. 
Lisa Ellis: Excellent! Thank you, thanks guys. 
Operator: Rod Bourgeois from DeepDive Equity Research has the next question. 
Rod Bourgeois : Okay guys, nice initial step in the December quarter it looks like. So it seems that you’ve made some positive progress on some of the turnaround in the December quarter and you're still though juggling multiple turnaround initiative and you're working to sell these three assets. And it seems that those multiple efforts that are still in process, could create some near term disruption, particularly to revenues.  So what I'd like to ask, what is your experience so far with the business disruption that might be occurring and I'm assuming fiscal ‘21 is starting really before your turn around work can really drive full pay off, while you still have potential disruption to deal with. So essentially as we approach the fiscal ‘21 period, I'm trying to weigh potential for some turnaround progress against risks of revenue disruption and would like to hear what your experience is so far and how you're thinking about that. 
Mike Salvino: Okay Rod, I'll take that. First of all, thanks for the question. When I think about the business right, you know obviously it's one business, but if you look at the strategic alternatives, you know state, local, health and Human Services business as usual. In fact the one state we are adding, very happy about that.  The horizontal BPS and workplace mobility businesses have held-up in line right, with what we thought. We thought we'd win some stuff and we thought that some stuff would go away. So revenue disruption to the strategic alternatives, you know we're not seeing, so we’ll put that to one side.  The rest of the business, in terms of revenue disruption, look, you know this business is a balancing act of decisions that have been made in the past in terms of term contracts that were now flowed into 2021 and also new – bringing on new business, that's why such the focus on the delivery, because that new businesses has got to come online right, so that we can balance out. So the way I look at 2021 will be still that transitional year, right. We will be dealing with some of the stuff in the past, alright, but I’m hoping with these IT estate plans that we are doing, I'm hoping with unlocking some of the work from the challenged accounts right, that we will have you know a motion in 2021 that will obviously be positive. But I look at 2021 as that transitional year Rod, where we are still going to deal with some of the stuff, but also invest in our customers’ people and operational execution.  So look, I mean the bottom line is I'm seeing progress across the board, in our client meetings, and the thing I guess I would highlight right, is the fact that when our clients talk to us, it is not just about the work that we have. They are very curious about the rest of the stack and this is where I'm looking forward to getting to the top of the stack in the blue.  I mentioned about bringing automotive and banking together with Luxoft. We have got to make sure that we're combining the capabilities that we have to compete in the market. And Luxoft has a really, really nice agile workforce that we should be able to deliver in the top of the stack very nicely. So anyhow Rod, that’s the way I think about it. 
Rod Bourgeois : Alright, thanks. That's helpful color. 
Operator: Our next question today comes from Bryan Bergin, Cowen. 
Jared Levine: Hey, this is actually Jared Levine on for Brian. So Mike, where do you stand with the make-up of your direct hires? Obviously a lot of announcements in a short period since September. Just have a lot to do at the senior rank to really put your plan into action. 
Mike Salvino: You know look, right now my focus is to continue to implement what I call our regional operating model, and you know the reason I highlighted in my comments that the new hires are integrating well with the folks that are here, is because we did have a talented team. This isn't about just all bringing new hires into the place. Where I've seen, you know places that are really – you know, want to take a step up, that’s typically when I've gone for a new hire. Carla is a perfect example of that, alright, in the sense that you know for a res standpoint I want lower level of detail on that, so we were able to attract a really talented person.  IT is another one, right. I mean as you can imagine with EDS to HPE along with CSC, the back end of our systems right, we need to continue to do more with alright, and when I think about controls and so forth, that's why we went after and got Chris. I mean, you know Chris knows how to deal with complex environments being at GE. So very pleased with the hires, but I also don't want to disparage the existing team, because the existing team was incredibly talented.  The thing that I want to highlight for people is they’ve come together well. We don't have a series of haves and have not’s here and like I said, the results in Q3 proved together that we could come together as a team very quickly and start making impact. So that would be my comment there. 
Jared Levine: Great! Thanks for the color. 
Operator: Next from Citi, we’ll hear from Ashwin Shirvaikar. 
Ashwin Shirvaikar: Thanks. Hi Mike, hi Paul. It’s a good first step here, I appreciate it. My question is on the stronger bookings performance. How much of that was because of delayed bookings from prior quarters? I know that's been in the specter of delayed booking has occurred in both the June and September quarters, and now there are delayed contracts still outstanding and in that context if you can talk also about how the pipeline is building and whether the delayed contract coming in is more a function of when it was at year end, what was the improved process you put in, what’s causing these contracts to now come in? 
Mike Salvino: Okay, so let me – I'll start with the bottom and then you go back to the individual details. So in terms of what happened, it wasn't year-end type thing, alright and it also you know wasn't something where we did something miraculous, right, because when I talked to you guys on November 11 in my first call, I mean the things I'm putting in place are just getting into place.  But I will tell you the focus on making sure that we dealt with these clients and we were front and center, right. We came up and showed up with a new attitude, along with we cared, along with what I call the ground swell from our people saying, ‘Hey, there's something new going on here’ that unlocks stuff, alright and I’ll let Paul get to the detailed numbers on what was put on hold and so forth.  The only other comment I would make is with the challenged accounts, you know there’s still more work to be at alright, and it's not work to be had that was just put on hold. It's also us sitting with those clients and finally being curious with them, and I made my comments around the operational execution, is the fact that what we're out in the marketplace talking about is the enterprise technologies stats, which means we're not just in the ITO business, but we're also not in this thing that we – you know that we used to call digital, right.  We have a very focused approach about what we're selling; ITO, cloud, apps you know and then analytics and insights. So that's the motion that we're putting out in the market and I would tell you, decent first step. 
Paul Saleh: Yeah Ashwin, to answer your first question, $250 million – around $250 million from deals that have slipped in the first half of the year. There is still another 500 that’s up for grabs, either in the fourth quarter or into the fiscal ’21. And then out of the – this is all in TCV right, and then the other things Mike mentioned already, $500 million of TCV from contracts that have been put on hold, two separate things. 
Ashwin Shirvaikar: Understood! And Mike, if I can ask you just philosophically, to the extent you see some upside in earnings and cash flow relative to initial expectations, are you more likely to be on the side of reinvesting that upside or passing it on to investors? 
Mike Salvino: The bottom line is Paul already said it. We are going to keep capital, you know balanced right in terms of our capital allocation. We're paying attention to the rating agencies and we obviously, I totally understand my job is shareholder value. So we're going to keep that balance.
Ashwin Shirvaikar: Got it. Thank you. 
Operator: Our next question will come from Bryan Keane, Deutsche Bank. 
Bryan Keane : Hi guys. Mike I just wanted to clarify, on fiscal year ‘22 the revenue range of $50 million plus and EBIT margin, non-GAAP I think was 12% plus and $7 in earnings plus. Is that all still hold or should we now put that to the side and kind of wait till fiscal year ‘21 and see how things progress? 
Mike Salvino: Brian, you know again thanks for the question and like I said, I'm not going to comment outside of 2020. My plan right now is to go and do the detailed account reviews for 2021. I plan to discuss 2021 on our next call and on our next call I’ll providing any update around those expectations for 2022. 
Bryan Keane : Okay, got it. That's all I had, thanks. 
Operator: And that is all the time we have for questions today. I'd like to hand things back to Shailesh Murali for any addition or closing remarks. 
Shailesh Murali: Thank you everyone for joining us this afternoon. We appreciate it. Thank you. 
Operator: Ladies and gentlemen, that does conclude today's conference. We would like to thank you all for your participation today. You may now disconnect.